Operator: Good morning. My name is Christie, and I will be your conference operator today. At this time, I would like to welcome everyone to the Oceaneering International's Third Quarter 2011 Earnings Conference Call. [Operator Instructions] Thank you. Jack Jurkoshek, you may begin your conference.
Jack Jurkoshek: Thank you. Good morning, everybody. Thank you for joining us on our 2011 third quarter earnings conference call. As usual, a webcast of this event is being made available through the StreetEvents Network service by Thomson Reuters. Joining me today are Kevin McEvoy, our President and Chief Executive Officer, who will be leading the call this morning; Marvin Migura, our Executive Vice President; and Cardon Gerner, our Senior Vice President and Chief Financial Officer. Just as a reminder, remarks we make during the course of this call regarding our earnings guidance, business strategy, plans for future operations and industry conditions are forward-looking statements made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. And I'll now going to turn the call over to Kevin.
M. Kevin McEvoy: Good morning, and thanks for joining the call. It's a pleasure to be here with you today. We are very pleased with our record EPS for the quarter, particularly in light of the slow recovery of non-drilling activity in the U.S. Gulf of Mexico. Our overall operations performed within expectations, and we remain on track to achieve record EPS for the year. Our third quarter results were highlighted by all-time high quarterly operating income from our ROV and Subsea Products operations. Given our year-to-date earnings and fourth quarter outlook, we are raising our 2011 EPS guidance range to $2.11 to $2.15 from $1.90 to $1.98. We were initiating 2012 annual EPS guidance with a range of $2.35 to $2.55, as we expect another record earnings year. For our services and products, we anticipate continued international demand growth and a moderate rebound in overall activity in the Gulf of Mexico. The major determinant of our guidance range spread is the amount of operating income growth we generate from Subsea Projects business. For Subsea Projects, we expect to benefit from a gradual recovery in the Gulf of Mexico during 2012 and a substantial increase in revenue and operating income as a result of an anticipated international expansion for our deepwater vessel project capabilities. I'll talk more about our 2012 guidance later, but first I'd like to review our operations for the third quarter. As we had anticipated, our ROV days on hire and fleet utilization rate improved during the quarter on an increase in demand for international drill support and vessel-based services. Our days on hire increased to an all-time high of over 19,000, and our fleet utilization was 80%, up from 76% last quarter and 73% for the third quarter of 2010. Segment operating income rose sequentially and year-over-year to a record level. During the quarter, we added 8 systems to our fleet and retired 8. Our decision to retire such a large number of systems in one quarter was based upon a comprehensive review of the future work prospects of each vehicle and our strategy of operating a modern fleet. Year-to-date, we have added 16 systems to our fleet, retired 13 and transferred the use of 1 to ADTECH for non-oilfield use for a net increase of 2 vehicles. At the end of September, we had 262 systems available for operation, up 10 from September a year ago. We now anticipate adding 4 to 6 vehicles in the fourth quarter and expect our year-end fleet size to be 266 to 268 ROVs compared to 260 at the end of 2010. We do not foresee any retirements in the fourth quarter. Our fleet mix utilization during September was 75% in drill support and 25% on vessel-based work. This compares to a 71%-29% mix a year ago and 73% and 27% mix in June of 2011. At the time of our last earnings call, in the U.S. Gulf of Mexico, we were receiving full rates for 26 ROVs on 23 rigs, a partial rate for 1 ROV and 0 rate for 1 ROV. Two of these rigs subsequently left the Gulf, one to Egypt, the other to Vietnam and we retained the ROV contract to support both of them. As of yesterday, we were on full rate for 25 ROVs on 22 rigs, all of which were working at 0 rate for 1 ROV on 1 rig which is not contracted. There are presently 25 floating rigs available for use in the Gulf of Mexico and we have ROVs on 23 of them. By the middle of next year, there are 5 known additional rigs currently scheduled to come into the Gulf, and we have the ROV contracts for all of them. One is an existing rig and 4 are new builds. So by mid-2012, we anticipate that there will be at least 30 rigs available for use in the Gulf of Mexico, and we expect to have ROVs on 28 of them. By comparison, we had ROVs on 31 of the 36 rigs in the Gulf pre-Macondo. As permitting becomes more routine, we believe additional rigs will be brought into the Gulf. Just last week, there was an announcement of another new build being contracted to work in this area commencing in the fourth quarter of 2012. We are pursuing the ROV drill support contract for this rig. Now turning to Subsea Products. As I indicated earlier, we achieved record operating income for this segment during the quarter. Sequentially, operating income rose on profit increases for most of our product lines led by increased sales of valves and Installation and Workover Control Systems, or IWOCS, services. Year-over-year, the increase in operating was primarily attributable to an increase in umbilical plant throughput and higher valve and tooling sales. At the end of the quarter, our products backlog was $403 million, comparable to $405 million at the end of June and $308 million one cents year ago. The year-over-year increase is attributable to higher backlog for umbilicals, tooling and valves. For Subsea Projects, our quarterly results include, in gross profit, the $18.3 million gain on the sale of the Ocean Legend. While we appreciate the gain on the sale of the Ocean Legend as a nonrecurring item, I personally want to thank the individuals who made this happen. There are a lot of ways to exit a business line, and adding $18.3 million of operating income is one of the best ways I know. I applaud their effort and the result. Absent this gain, third quarter operating income performance was sequentially slightly higher due to additional diving demand. Year-over-year, Subsea Projects' operating income declined as a result of lower demand and pricing for deepwater vessels and shallow water diving services. And lastly, our other expenses for the quarter was primarily due to foreign currency exchange losses. In summary, our third quarter operating results were in line with our expectations, and we are looking forward to realizing another year of record EPS performance in 2011. Our focus on providing products and services for deepwater and subsea completions positions us to participate in a major secular growth trend in the oilfield services and products industry. We are pleased with our cash flow generation, as demonstrated by $148 million of EBITDA during the quarter. Capital expenditures for the quarter totaled about $50 million, of which $31 million was invested in ROVs and $12 million was spent in Subsea Projects, primarily on the Ocean Patriot renovation and the third saturation diving system. We now expect our CapEx for the year to be around $280 million, of which about $54 million is related to acquisitions. During the quarter, we also purchased 500,000 shares of our common stock at a cost of approximately $17.5 million, and we paid $16.2 million in cash dividends. At the end of September, we had $166 million of cash and no debt. Now let's talk about our outlook. For the fourth quarter of 2011, we are projecting EPS in the range of $0.48 to $0.52, up from $0.44 last year. With the exception of Subsea Projects, we are expecting year-over-year quarterly operating income improvements from the rest of our business segments led by an increase from ROVs. Subsea Projects results for the fourth quarter are expected to be lower. This decline is attributable to the current weak market conditions in the Gulf of Mexico and the fact that we benefited last year from unseasonably high demand for our services on projects that have been delayed from the summer due to the Macondo well incident. Sequentially, we expect quarterly operating income improvement from ROVs and operating income declines from the rest of our business segments. Part of the declines can be attributable to normal seasonality, and the Subsea Products decline is mostly due to project timing. Looking forward to 2012, we are initiating EPS guidance for the range of $2.35 to $2.55 based on an average of 109 million diluted shares and an estimated tax rate of 31.5%. We have not completed our planning process, but the big picture of the annual 2012 versus 2011 changes we envision can be summarized as follows. ROV operating income is projected to grow on the strength of an increase in days on hire as we benefit from an increase in demand off West Africa and in the Gulf of Mexico and continue to expand our fleet. We anticipate adding 15 to 20 vehicles in our fleet in 2012 and retiring 4 to 6. For West Africa, we are anticipating an increase in ROV demand for both drill support and vessel-based services in 2012 compared to 2011. For the Gulf of Mexico we are projecting an increase in ROV demand for drill support services. We are encouraged by the recent pace of new deepwater well permitting by the BOEM and anticipate this trend will continue. We are projecting that for 2012, our days on hire will increase and that our fleet utilization rate will improve to 80% or more. Subsea Products' operating income is forecasted to be higher on the strength of higher tooling sales and increase throughput at our umbilical plants. We do foresee a very challenging Gulf of Mexico umbilical market for our Panama City plant due to the aftereffect of the drilling moratorium in 2010 and '11. Subsea Projects' operating profit is expected to improve substantially on international expansion of our deepwater vessel project capabilities. We are also anticipating a gradual recovery in demand for our shallow water diving and deepwater vessel services in the Gulf of Mexico. We are in discussions to undertake a multiyear international project that will allow us to expand our deepwater vessel project capabilities outside the Gulf of Mexico. If we secure this work, an appropriate press release detailing the award will be issued after we obtain customer approval. Given our lack of visibility for 2012 projects in the Gulf of Mexico, we are forecasting a gradual recovery in demand for our services in this area. The recovery we anticipate is particularly for saturation diving projects that may require the use of our new Ocean Patriot vessel. Whether we win the international services contract or not and the degree to which the Gulf of Mexico activity recovers are major determinants of our EPS guidance range spread. Our Inspection segment profit contribution is forecast to be slightly higher on increased global service sales. Advanced Technologies' performance is expected to increase primarily due to improved operating efficiencies and profitability on U.S. Navy surface vessels overhaul work and higher demand for submarine repairs. Unallocated expenses are estimated to be slightly higher. At the midpoint of our guidance range, we would expect our overall operating margin in 2012 to be about 16%, up from what we are anticipating for 2011 and about the same as it was in 2010. Based on our preliminary numbers, we are not anticipating any big changes in our segment operating margins in 2012 compared to 2011. During 2012, we anticipate generating at least $525 million of EBITDA. Our balance sheet and projected cash flow provide us with ample resources to invest in Oceaneering's growth. Our preliminary CapEx estimate for next year, excluding acquisitions, is $200 million to $225 million. Of this amount, approximately $125 million is anticipated to be spent on vehicle upgrades and adding systems to our ROV fleet. About $75 million is for Subsea Products to support our umbilical, tooling, IWOCS and Houston manufacturing operations. Our focus in 2012, as it was this year, will be on earnings growth and investment opportunities, both organically and through acquisitions. We are not presently going to give more detailed guidance information on 2012 and are not providing quarterly earnings guidance for next year at this time. For those of you who intend to publish quarterly estimates, I'd like to remind you that historically, our first quarter is the lowest of the year due to seasonality and that we tend to have higher earnings in the second half of the year as compared to the first half. Looking forward to 2012 and beyond, we are convinced that our strategy to focus on providing services and products to facilitate deepwater exploration and production remains sound. We believe the oil and gas industry will continue to invest in deepwater as it remains one of the best frontiers for adding large hydrocarbon reserves with high production flow rates at relatively low finding and development costs. Therefore, we anticipate the demand for our deepwater services and products will continue to rise and believe our business prospects for the next several years are promising. Others must share this belief. At the end of the quarter, there were 74 new floating rigs on order. 59 of these rigs are planned to be available by the end of 2013. 37 have been contracted long term for an average of over 8 years. Three more floaters have been ordered since then with 2014 shipyard delivery dates. Of the 37 contracted floating rigs, operators have let ROV contracts on 19 and we have won 8. So that leaves 58 ROV contracting opportunities for new rigs left to be pursued, of which 18 have operator contracts and 40 do not. If all of the rigs on order are placed into service, the global floating rig fleet size will grow 28% to 349 rigs. The high-spec fleet consisting of fifth- and sixth-generation semis and dynamically positioned drill ships, which currently totals 104 rigs, will grow nearly 75%. We historically have had a high market share on the high-spec rigs and are currently on 75% of them. Looking forward, we see no reason why we will not continue to be the dominant provider of ROV services on these units. As the use of floating rigs grows, we believe it is inevitable that discoveries will eventually drive orders for subsea hardware to levels not previously experienced, and demand for ROVs to support vessel-based activities will follow. Quest Offshore's latest subsea hardware forecast for the period 2011 to 2015 includes a 33% increase in tree orders over the previous 5 years. In 2012, subsea tree orders are projected to be 561, an all-time high, eclipsing the previous record of 462 trees in 2006. While we don't make trees, orders for subsea trees do drive demand for a substantial amount of ancillary subsea production hardware that we manufacture. For example, Quest is forecasting a 52% increase in umbilical orders for the 2011 to 2015 period. Furthermore, renewed industry and regulatory emphasis on safe and reliable operations is providing us additional opportunities to demonstrate our capabilities. With our existing assets, we are well positioned to supply a wide range of the services and products required to support the safe deepwater efforts of our customers. We believe Oceaneering's business prospects for the long term remain promising. Our commanding competitive position, technology leadership and strong balance sheet and cash flow enable us to continue to grow the company, and we intend to do so. In summary, our results continue to demonstrate our ability to generate excellent earnings and cash flow. We believe our business strategy is working well for both the short and the long term. We like our competitive position in the 2011-2012 oilfield services market. Our technology gives us the ability to prosper in challenging times. We are leveraged to what we believe will be an inevitable resumption in growth of deepwater and subsea completion activity. The longer term market outlook for our deepwater and subsea service and product offering remains favorable. The renewed industry and regulatory emphasis on reliable equipment and redundant safety features of deepwater operations is causing our customers to be even more focused on risk reduction. This elevates the importance of the utility and reliability of our ROV services and related product lines and reinforces the benefit of our value sell. For 2011, we are anticipating that we will achieve another record year of EPS performance and that 2012 will be even better. We think this distinguishes Oceaneering from many other oilfield service company. We appreciate everyone's interest in Oceaneering. I'll now be happy to take any questions you may have.
Operator: [Operator Instructions] Your first question comes from the line of Brad Handler with Crédit Suisse.
Brad Handler - Crédit Suisse AG, Research Division: Just a couple of topics based on your comments, please. I'd love to understand, I guess, the first thing on that multiyear project potential that you referred to in projects. Would that relate -- would there be a new build involved if you were to win that work? Or would that be about repositioning assets out of the Gulf?
M. Kevin McEvoy: There would not be a new build. It would be about repositioning an asset from the Gulf of Mexico.
Brad Handler - Crédit Suisse AG, Research Division: Okay. And then my follow-up question relates to products. I guess, I'd love a sense from you. You've had some nice movers in 2011 relating to ROV tooling, for example, not your only driver of growth, I guess, but an important one. Where do you think you are in that process of growth? Is there a -- does it -- do you have enough of your ROV tooling packages on rental already so that there's sort of a -- it starts to flatten out? Or is there continued opportunity to put more into the marketplace? And is that part of the growth driver for '12?
M. Kevin McEvoy: Well, I think it's an across-the-segment issue here. I mean, there a lot of moving pieces to this, but we generally see favorable demand growth compared to what it has been for next year. And I think it would be hard to pin it on any one piece of that segment particularly.
Marvin J. Migura: And I do think that, Brad, for tooling, we will benefit from the full year acquisition of NCA.
Brad Handler - Crédit Suisse AG, Research Division: Sure. Okay. All right. So that's helpful and steering me kind of more broadly. Presumably, it includes IWOCS and further international expansion on that score. Again, is there optimism about actually adding more systems and pushing further into West African market, for example?
M. Kevin McEvoy: There is optimism about expanding the IWOCS business, but I would say that on its own, that is not a material driver. It is something that we're constantly trying to do, and over time, it does add up. But in the short term, it's probably not a huge needle mover there.
Brad Handler - Crédit Suisse AG, Research Division: Okay. So maybe I should ask it in the reverse. Acknowledging that it's across the board, is there something you would point to as being the most influential piece? Is it the full year of NCA since you point that out for me, Marvin? Is that how I should be thinking of it?
Marvin J. Migura: No, I think you should be thinking of it as pretty broad based. I think as Kevin pointed out, we should have more umbilical throughput. But we do have a very challenged Panama City plan because if you're not drilling, and especially if the independents aren't drilling currently, then you don't see much homegrown Gulf of Mexico umbilical demand. And so while we see global demand picking up, short-term 2012 Panama City plant is going to be seeking work outside the Gulf of Mexico because of low project visibility.
Brad Handler - Crédit Suisse AG, Research Division: Okay. Fair enough. Maybe I can steal one more. Can you give a little color around the ROV margin in the quarter and sort of expectations for how that progresses over the next couple of quarters?
Marvin J. Migura: Let me look. I think what we said is we don't expect any change in our -- material change in our margins, and we looked at 30% for the operating margin in the third quarter compared to 31% and we've been saying that we think it will be around 30% all year. So no, I think that performed very much in line with our expectations.
Operator: Your next question comes from the line of James Crandell with Dahlman Rose.
James Crandell - Dahlman Rose & Company, LLC, Research Division: My first question is also about the ROV business. Could you comment, Kevin, on the effect of margins on this what seems to be meaningful change in your fleet? You're retiring, you've upped your retirements. You're putting more of your ROVs on sort of ultra-deepwater rigs coming out of the yard. It would seem that, that combination should have a positive effect on margins or no?
M. Kevin McEvoy: Yes, I mean, the ones that we are retiring have not really been contributing in the recent past, which is one of the reasons that we're retiring them also in light of the cost that would be involved in trying to upgrade them to make them usable in today's market. The -- even though we are the price leader, there is still constant pressure on pricing from our customers. We are increasing day rates over time, generally consistent with increasing costs of the new capital equipment for deeper water and higher specifications that are coming out. But I would not say that there has been great opportunity to increase margins.
Marvin J. Migura: Jim, just to give some color on that. Of the 8 systems that we retired in the third quarter, 5 of them had not worked in the past 12 months, and 2 of them had only worked a little bit in the first half of 2011.
James Crandell - Dahlman Rose & Company, LLC, Research Division: That's helpful. If you -- and maybe you gave this number if I missed it. But what percentage of ROVs have you won this year? What's your -- is your market share in line with historical averages in terms of your win rate in ROV contracts?
M. Kevin McEvoy: Well, during the quarter, 9 jobs were awarded and we won 4. Of the 5 we did not win, one went to Cuba. One ROV contract was awarded to a local Nigerian company, and 3 went to Subsea 7, one for Petrobras and 2 for Statoil.
James Crandell - Dahlman Rose & Company, LLC, Research Division: Okay. So this year as a whole then, your market share would be less than what it has been historically. And why do you think that is? Just a mix of customers that are ordering the ROVs has changed somewhat?
M. Kevin McEvoy: Well, of the list that I just gave you there, I mean, you could say mix was partly responsible. But as I said earlier, pricing is still a major issue in all things offshore. And I think as we are seeing some pricing pressure and some companies are going to ultimately try a lower priced alternative and see how it works out.
James Crandell - Dahlman Rose & Company, LLC, Research Division: Okay. And just one question about the umbilical business if I could. I think you mentioned that the international businesses has improved, and the Panama City plant suffering from weak activity in the Gulf of Mexico. I mean, are the international businesses up to margins and levels of profitability that you would consider to be adequate right now? I mean, this has been sort of the drag on the segment's earnings for maybe the last 3 years or so, but it seems to me that umbilical profitability overall has been improving and led by the international side. Is there -- can that business now be "healthy" and the only real issue is the Panama City plant?
M. Kevin McEvoy: Well, I think that -- let's talk about the international market first. I think there are still huge overcapacity in the market. Pricing is still very tight. I think that what we've seen is improved execution on our side for one thing. And secondly, I think we've been a little more successful more recently than we have been, say, 2, 3 years ago. But, I mean, we are encouraged by the direction the market is heading. And for example, if Petrobras sticks to their procurement plans, we could expect 18, 24-month time frame to see things tighten up there in terms of local capacity versus Petrobras demand. They do have a history of inviting others in, though, when it gets to that point in their supply chain. So we'll see what happens there, but that's the way we would characterize it. There's still a lot of overcapacity, and so pricing is tight. I mean, we are happier today with that business than we were 2 years ago that is for sure. With regard to the Panama City plant, I mean, the Gulf of Mexico, a reasonable amount of our business in the past has been with independents, as Marvin alluded to you earlier, and they have pretty much been absent from the drilling scene for sometime now. And that is really the source of short term, single-well, tie-back opportunities that benefit our business here. While there is some optimism regarding larger, deeper water developments here right now, those are several year lead time ideas. And so it's not a short-term deal.
James Crandell - Dahlman Rose & Company, LLC, Research Division: And then in the quarter that you recorded this morning, at least versus my estimates, your revenues were quite a bit stronger than what I would have anticipated but your margins were lower. Is that because of a shift in the mix toward umbilicals in the quarter?
Marvin J. Migura: I think it was a shift in products in general, and yes, umbilical specifically.
M. Kevin McEvoy: Yes, umbilicals usually drives that.
Operator: Your next question comes from the line of Michael Marino with Stephens Inc.
Michael R. Marino - Stephens Inc., Research Division: If I could just follow up on the Q3 margin question. I guess products was kind of flat sequentially, maybe up a little bit, and you guys noted high IWOCS and valve sales. Is there anything about the IWOCS margins that's changed? Or was it the valve mix maybe and the umbilical mix weighing on the margins of that group?
M. Kevin McEvoy: Well, there's been no change on IWOCS side. So I mean, it really is a lot of moving pieces in this segment. And so it's hard to draw any major conclusion other than umbilicals generally have lower margin than the rest of the subsegments there and that will affect that margin.
Marvin J. Migura: And Michael, we've been saying high teens is what we expect and 19% is about as high as you can get within that range, so we're pretty pleased with a 19% margin. And I mean, year-to-date, we're at 18% and I think everything in products is really unfolding as we expected or perhaps a little bit better.
Michael R. Marino - Stephens Inc., Research Division: Okay. Fair enough. And just as a follow up, the international project you all referenced in the guidance of being a swing factor, does that have potential pull-through into the products group? And if so, is that something you've kind of baked into the guidance? Or is it maybe something that develops later in the project or next year?
M. Kevin McEvoy: I think that first of all, we have baked into our guidance whatever we see coming from that. Secondly, aside from ROV tooling, which generally goes with that kind of work, we would not expect to have any other product pull-through.
Operator: Your next question comes from the line of Jon Donnel with Howard Weil.
Jonathan Donnel - Howard Weil Incorporated, Research Division: Trying to size up a little bit your commentary around sort of the gradual recovery in the Gulf of Mexico on the project side. I know it's been a number of quarters since we've probably had anything that's resembling normal activity levels there. But should I be thinking about this that you maybe, like, a first quarter '10 is something of a normalized state here absent any incremental hurricane, work that may come in the future and realizing there's some seasonality, obviously, between the quarters as well?
Marvin J. Migura: Jon, I mean, it's really -- the first part of it it's been a long time since we've seen anything normal. So it's really hard to gauge that. Kevin did say that first quarter '10 had, and Q4 of -- well, let's see, '10 still had some hurricane work and into Q1.
M. Kevin McEvoy: Right. Not significant.
Marvin J. Migura: Not significant. But it's not probably not far off from normal, but we haven't looked at it that way.
Jonathan Donnel - Howard Weil Incorporated, Research Division: Okay. Well, that's helpful, at least to just get sort of a general size of it. And then in terms of the ROV demand in the Gulf of Mexico, I thought I heard you say that, that was -- the growth in '12 versus '11 was going to be purely drill support and I didn't hear anything about vessel or construction side of that business. Did I hear that correctly? And I guess, is there any thoughts that there could be some recovery on that side of the business as well and maybe help those ROV utilizations as we go forward? And I guess why would that be different for the ROVs versus the projects?
M. Kevin McEvoy: Okay. Well, I mean, first of all, the ROV comment also included West Africa. We did note that there are going to -- expected to be, if the schedules hold, 5 additional rigs coming to the Gulf of Mexico. So that, I think, is that piece of it. And I think the vessel-based ROV part really pretty much mirrors our expectations for the projects business. We just have just little visibility on that at this point in time. So that's why there is the caution about that.
Jonathan Donnel - Howard Weil Incorporated, Research Division: Okay. That's fair enough. I guess I just misconstrued those comments a bit. And then finally, just regarding the share repurchases. Is this something that was just more opportunistic during the quarter? Is it something you're looking to maybe be more systematic as we go through 2012 given the free cash flow that you all are projecting to be getting into in 2012?
Marvin J. Migura: It was opportunistic.
Operator: Your next question comes from the line of Joe Gibney with Capital One.
Joseph D. Gibney - Capital One Southcoast, Inc., Research Division: Just a couple of questions on segment-related detail on your '12 guidance. I was curious about Inspection. I know you indicated it will be heading slightly higher next year, and this segment often kind of gets pushed into the rug a little bit versus the other ones. But '11 is shaping up very nicely as kind of a plus 20% year-over-year growth in op income. Just kind of curious how '12 is shaping, I mean, indicating slightly higher. Is it continued growth, just moderating growth? Can you touch a little bit about some of the drivers of that business?
M. Kevin McEvoy: Well, it's continuing moderate growth. I mean, this really is a combination of 2 big pieces, if you will, U.K. and North Sea activity, and then other areas international where there's a focus on topsides inspection activity.
Joseph D. Gibney - Capital One Southcoast, Inc., Research Division: Okay. Helpful. And then just following up on the previous question about Gulf of Mexico, the gradual recovery within projects. On the shallow water side, trying to understand, are you sort of seeing this more as a function of SAT diving and Ocean Patriot contributing more and sort of gradual underlying improvement elsewhere? Just trying to get a sense of diving pricing now as it stands in 3Q, obviously still challenged, the permitting outlook getting a little bit better. But I mean, shallow water diving outlook, I guess, in the next year, is it really more a function of your asset mix or are things constructively getting a little bit better?
M. Kevin McEvoy: Well, I think generally, the market has been slowed down because of lack of permitting for non-drilling kind of projects. We do see that starting to improve. However, at this point in time, there's still a lot of capacity in the market and pricing is down. And so it's a question of how much demand is going to come next year that will allow pricing to tighten up and to get back to some better margins. We do believe that there's going to be some opportunity for this DP2 saturation diving vessel that will be available for the market for next season.
Operator: Your next question comes from the line of Tom Curran with Wells Fargo.
Tom Curran - Wells Fargo Securities, LLC, Research Division: Just following up on a few of the lines of questioning that have already been started. Starting with Subsea Projects. The vessel that you're considering relocating for this opportunity, is that a shallow water or deepwater vessel?
M. Kevin McEvoy: It would be a deepwater vessel.
Tom Curran - Wells Fargo Securities, LLC, Research Division: And how many of those do you have in the Gulf? And of those, how many are currently working, and how many do you consider eligible for these types of redeployments?
M. Kevin McEvoy: Well, we have 4 and probably eligible for deployment would be 2. But there is also the opportunity of providing charter vessels on projects as well. And so it's not just a solely a question of moving whatever we currently have someplace else.
Tom Curran - Wells Fargo Securities, LLC, Research Division: Okay. And those 4, what percentage of 3Q revenues do they account for?
M. Kevin McEvoy: We don't give that level of detail.
Tom Curran - Wells Fargo Securities, LLC, Research Division: How about just sort of a rough recent run rate utilization wise?
Marvin J. Migura: We don't give that out either.
Tom Curran - Wells Fargo Securities, LLC, Research Division: Okay. But fair to say that...
Marvin J. Migura: It's been low. It's fair to say that it's been low because we've been talking about a challenged Gulf of Mexico non-drill support market.
Tom Curran - Wells Fargo Securities, LLC, Research Division: Right. Okay. Fair enough. Turning to DTS. Is there any percentage of the post-Macondo BOP stack related spending that was sort of at a temporary high that you're assuming drops off in 2012?
M. Kevin McEvoy: From -- compared to 2011? No.
Tom Curran - Wells Fargo Securities, LLC, Research Division: Okay. So the level of the BOP related-spending you're at right now is, for the most part, expected to be a sustained run rate into 2012?
M. Kevin McEvoy: Yes. As we have said previously, the majority of what we are doing in this particular area are rental items, and so we're expecting that to be over a longer term deal there.
Tom Curran - Wells Fargo Securities, LLC, Research Division: And are any of those assets on the equivalent of term contracts? And if so, could you give us an indication of the percentage of the assets?
Marvin J. Migura: No. I mean, we're really getting into -- really subsegment and one kind of tool rental, so equipment rental. I don't think of much of our equipment at Oceaneering as being on term contracts that you can book as firm backlog. As you know, most of our ROVs have pretty easy termination for convenience. Yes, it really -- this kind of equipment matches the ROV contracts.
Tom Curran - Wells Fargo Securities, LLC, Research Division: Okay. That's helpful. I'll finish with an easy one, and I apologize if you've already shared about it, but I don't think you have. Please just update us on how many of the floater new built in the Q have yet to award initial ROV contracts, and then your sense of those rigs that haven't -- the percentage that are likely going to Brazil.
Marvin J. Migura: We got that. We're just trying to find it in the remarks here so. Okay.
M. Kevin McEvoy: As of the end of September, there were 74 floating rigs on order and 3 more have been ordered since then. And we currently estimate...
Marvin J. Migura: Keep going with that...
M. Kevin McEvoy: There's 58 ROV we said in our opening remarks, 58 that are current opportunities. I think 40 of them have no operator contract and the remainder do have contracts, and we are diligently following up on every one of those.
Operator: Your next question comes from the line of Andrea Sharkey with Gabelli & Company.
Andrea Sharkey - Gabelli & Company, Inc.: I was just wondering if maybe you could update us on your outlook for potential acquisitions. You've got net cash on the balance sheet. I know it's something you guys have always been looking to do, but matter of trying to get things at a good price. Has that market improved at all? And then maybe remind us again what sort of products or product lines you would be most interested in.
M. Kevin McEvoy: Okay. Well, I mean, we are always looking for viable acquisition candidates, and we can't give too much more color on it other than that. I mean, we, in the recent past, have been successful in finding fairly small-ish candidates. I'd say that generally speaking, anything in the offshore subsea deepwater market niche is pretty highly valued and priced, and that further complicates the opportunity to find something that, a, fits with what we want to do; and b, is economically viable. So I can't say much more about it other than that, but other than that we are constantly looking and hope to continue to be able to make some acquisitions, and we'd love to be able to make some larger ones if we could.
Andrea Sharkey - Gabelli & Company, Inc.: Okay. Great. And then just one more for me on the outlook for the umbilical, saying more throughput in those plants and better plant utilization. Is that based on things that you've already booked and that you know you have? Or is it based on a number of projects that you sort of see coming down the line? And maybe give us a sense of what that split could be.
M. Kevin McEvoy: Well, it is based on what we see as opportunities in the marketplace today that we are trying to secure. And I don't think I could give you a breakdown of backlog versus what we think out there or whatever. I couldn't do that.
Operator: Your next question comes from the line of Victor Marchon with RBC Capital Markets.
Victor Marchon - RBC Capital Markets, LLC, Research Division: First is on the projects and the international contract that you guys are pursuing right now, just wanted to get a sense from how you guys are thinking about it. Is this something that we can think about as being a first step and then more permanent international beachhead versus previously where you've done work with a vessel and then brought it back to the Gulf? Is this something where you could -- where you think that, again, would be more of a permanent move where we'll see additional work in this area over the next 2, 3, 4, 5 years?
M. Kevin McEvoy: Well, we hope so. I mean, we did indicate that this would be a several year project to contract. And I think that this is -- I would think -- think about this as a niche market kind of endeavor. I mean, there's a very broad market out there for vessel-based construction services and that sort of thing. And I wouldn't go anywhere near that with this. But we do believe that there are additional opportunities of a like nature that could be available, and we're going to be actively pursuing those as they arrive.
Victor Marchon - RBC Capital Markets, LLC, Research Division: Great. And the second one I had, just on bidding activity for the umbilical business. I just want to get a sense, given the uncertainty on the macro side the last couple of months, just wanted to get your thoughts on the level of bidding activity that you guys have seen since the second quarter call and how you see that progressing as we get into 2012.
M. Kevin McEvoy: Well, bidding activity has been very high, particularly Brazil and for our site plants, which is really geared towards the North Sea and West Africa. So it has been very high for those particular areas there, and we see that continuing into 2012 at the moment.
Operator: Your next question comes from the line of Mike Urban with Deutsche Bank.
Michael W. Urban - Deutsche Bank AG, Research Division: I think most of my questions have been answered. Just want to be clear. I think you've -- we're pretty clear on this. I just want to make sure I got this entirely correct. The potential international project is something that's baked into the high end of the guidance range?
M. Kevin McEvoy: That is correct.
Michael W. Urban - Deutsche Bank AG, Research Division: Okay. And then unrelated, in Brazil, you had kind of a lower market share than you've enjoyed elsewhere in the world and part of that has been kind of getting them to buy into the value proposition. There was an incident down there where you had a significant amount of downtime on a rig because of an issue with the ROV. Has that helped at all in your discussions with the customer down there, or too early to tell?
M. Kevin McEvoy: I would not anticipate any major shift in Petrobras' acquisition policies. But I mean, you can only hope that, that would be helpful at some point in time. But I don't see any major shift coming from Petrobras.
Operator: Your final question comes from the line of John Lawrence with Tudor, Pickering, Holt.
John D. Lawrence - Tudor, Pickering, Holt & Co. Securities, Inc., Research Division: Just one more on Brazil, just on the product side. If you exclude umbilicals, can you just kind of talk about the opportunity down there? Is it still very competitive? Or it sounds like the body language might be pretty positive.
M. Kevin McEvoy: It is very competitive in Brazil. And in Petrobras, does a pretty good job of pitting every competitor against each other to get the lowest pricing. In addition, they are going through the changes that, I guess, are more or less expected of an economy like this where they're demanding more and more local content both in terms of personnel, which we've always been very good on, but also in terms of equipment. And so if you provide anything, supply anything, make anything, there's a penalty in one way or another if it is not done in Brazil. Now the problem with that generally is that there's not a lot available of the right quality and whatnot. So it makes it very challenging and introduces risk into projects just in its own right. I mean, that is slowly changing and of course, over time, that won't be a big problem. But in the short term, it's a very challenging market. And they change the rules. The government changes the rules fairly regularly, so you've got to be on your toes all the time ready to change.
John D. Lawrence - Tudor, Pickering, Holt & Co. Securities, Inc., Research Division: Okay. And then just clarifying a housekeeping item here. Fleet utilization for 2012, you said 80% on the ROV side?
M. Kevin McEvoy: 80% or more.
Operator: There are no further questions at this time.
Marvin J. Migura: All right. Thanks, everybody, for your attention. Appreciate it.
M. Kevin McEvoy: Take care. Bye-bye.
Operator: This concludes today's conference call. You may now disconnect.